Operator: Good day, ladies and gentlemen, and welcome to the ASUR Fourth Quarter 2012 Results Conference Call. My name is Tadeo and I’ll be your operator. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) For opening remarks and introductions, I’d like to turn this call over to Mr. Adolfo Castro, Chief Executive Officer. Please proceed.
Adolfo Castro Rivas: Okay, thank you, Tadeo. Good morning, everybody. Thank you for joining us today for the conference call to discuss our fourth quarter results and the year-end 2012 results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risk and uncertainties that could cause actual results to differ materially, including factors that may be beyond our company’s control. For an explanation of these risks, please refer to our filings with the Securities and Exchange Commission and the Mexican Stock Exchange. On today’s call, I will provide a brief update on the progress made in connection with our international expansion plan, the Master Development Plan, our outlook for passenger traffic for this year and go over the key highlights of the results of the quarter. In terms of our international expansion plan, let me start with San Juan, Puerto Rico International Airport. Yesterday evening, the U.S. Federal Aviation Administration issued an order approving the lease between Aerostar and Puerto Rico Ports authority and is expected to provide Aerostar with it’s Part 139 operating certificate today. Aerostar has obtained the regulatory approvals necessary to close the transaction and all remain conditions precedent on the belief has been satisfied always. We are waiting for the final decision of the Government of Puerto Rico will take on this matter and we will then decide about the next steps. You know that transparency is one of our basic principles in terms of investor communications and we look forward to providing additional updates as we move along further in this process. Although Cancún Airport is a very interesting project for us in both medium and long-term, investing in the license to operate the airport does not significantly reduce our excess balance sheet capacity. With this in mind, we look for other vehicles to allow us to optimize our balance sheet structure and continue to drive growth, all with in line with our current business. For example, we’re likely to see the Government opening a biding process for new airport in Mexico City, as the current international airport has been operating at full capacity. The biding process could unfold in short-term and if it does, we will want to participate on this project. Let me give you now an update on our Master Development Plan. We’ve presented our Master Development Plan proposal to the Government on the December 21, last year. The Federal authorities now have a year to review the documentation and we will be in negotiations with them during this period, more actively in the fourth quarter. We do not anticipate any big surprises and expect that the authorities would basically honor the terms of our concession agreement as they have been doing over the past 12 years. The new rates will be then, be valid as from the first day of January 2013. Looking ahead, we’re not expecting passenger traffic growth in the year 2013 to be as strong as last year. If those passenger traffic growth levels would continue this year, but we’ll have to make small investments and incremental cost to effectively support to continued strong domestic expansion. In fact, domestic traffic growth has been disproportionally high relatively to international traffic and this will ultimately lead to increased operating cost for us. Looking for disciplined investment opportunities to expand our operations, we also continue to drive costs higher as we continue to engage in this process. Overall, we continue to focus on building value for our shareholders, guided by our long-term vision to be the leading airport in Mexico and Latin America, while taking a small fraction of same steps, so we’re achieving that goal. Moving on to the results, this is what a very good quarter. Passenger traffic increased 11% year-on-year, mainly driven by a 12% expansion in domestic traffic. We’ll reach 2.21 million passengers this quarter, the highest fourth quarter on record growth in a fourth quarter. Domestic traffic was particularly strong at Cancún, Minatitlan, Veracruz and Villahermosa and Oaxaca. Traffic at Cancún remains at historical peaks, reaching 1.4 million passengers. The smaller airports, however, are still affected by the lack of domestic airline fleet capacity. International traffic rose 10% to 2.4 million passengers. International passenger traffic was 48% of the total traffic, but slightly above the 47% shares in our fourth quarter 2011. Passenger between Mexico, Canada and the United States, represented 86.9% of the total traffic compared with the 88.9%, a year ago. Revenues this quarter fell 2%, reflecting the lower committed investments under the Master Development Plan during the period. Excluding construction services, total revenue would have increased 13% year-on-year. Commercial revenues per passenger rose to Ps.73.4, a record for a fourth quarter. As you can see we remain focused on maximizing commercial revenue opportunities. But it’s not easy given the shift in passenger traffic mix towards domestic traffic, which is restricted from purchasing duty-free items. The decline in construction cost also impacted operating cost and expenses, which were down 12% year-on-year. Excluding construction services, operating cost rose 9%. Cost of sales from higher revenues at our commercial direct operation and expenses resulting from our participation in San Juan Airport, as well as fees from the bonds required in the appeal of a decision overturning a tax credit at San Juan for 2006 and 2007. Again, we’re the main business for this entry. EBITDA was up almost 14% with an EBITDA margin increase around 700 basis points year-on-year to 50.22%. We made investments of Ps.226 million this quarter, as we continue with the Terminal expansion in Huatulco, Oaxca, Villahermosa and Veracruz Airports. All of which are expected to be completed during the year 2013. Finally, we maintain a strong balance sheet with cash and cash equivalents of Ps.2.3 billion and bank debt of Ps.350 million at the close of the quarter. Now, let me open the floor for questions. Please Tadeo, go ahead.
Operator: Thank you, ladies and gentlemen. (Operator Instructions) Our first question is from the line of Armando Perez with GBM. Please go ahead.
Armando Perez Nuñez – GBM Grupo Bursátil Mexicano: Good morning Adolfo. I just want – if you have more color regarding the (inaudible) airport whether – when would you start operating it? How about the financing and in general terms little bit more information?
Adolfo Castro Rivas: Hey, Armando, good morning. Basically as I have said, we are waiting for the final decision of the Government of Puerto Rico. Once we have that, we will be able to inform the market about the next steps.
Armando Perez Nuñez – GBM Grupo Bursátil Mexicano: Okay. So and when are you expecting this next steps to begin?
Adolfo Castro Rivas: I would say shortly, probably within one, two days.
Armando Perez Nuñez – GBM Grupo Bursátil Mexicano: Okay, good. Thank you.
Adolfo Castro Rivas: You’re welcome.
Operator: Thank you. (Operator Instructions) Our next question is from the line of Ricardo Alves with Morgan Stanley. Please go ahead.
Augusto Ensiki – Morgan Stanley: Hi, Adolfo, it’s actually Augusto here. Set of question on the cost line, in the cost of service, you mentioned that it was higher this quarter due to some cost from the airport project as well as your own – the additional stores that you guys now operate. Could you tell us how much of the costs were from those items, relative to I guess how costs from we are? Just trying to get a breakout of what would be one-time and then what would be recurring? Thank you.
Adolfo Castro Rivas: Okay. Well, let me start with the direct commercial operation. You have the numbers of how much we were able to sell during the quarter. In terms of direct cost, well that I would say at least, between 50% to 60% is the direct cost of our sales now. So from these you can deduct that. These – in the case of San Juan, Puerto Rico for this quarter probably and I don’t have an exact figure to share with you right now, but we can say around $1 million.
Augusto Ensiki – Morgan Stanley: Okay. So it’s actually very small and that’s something that doesn’t continue, right, this is just, now that the project proposal stuff is over, you don’t see that coming back?
Adolfo Castro Rivas: If we are successful on this project, most of these costs will be recovered, if not, it will be an expense for this year.
Augusto Ensiki – Morgan Stanley: Understood. Thank you very much, Adolfo.
Adolfo Castro Rivas: You’re welcome.
Operator: Thank you. (Operator Instructions) Our next question is from the line of Raian Santos with Citi. Please go ahead.
Raian Santos – Citigroup: Hey, Adolfo, this is Raian, speaking for Steve Trent here at Citi. Can you give us more color on the new Mexico City Airport as far as timing?
Adolfo Castro Rivas: Hello, Raian, good morning. Basically, what I know is that the current Government is working on that operation. I don’t have too much details about timing. My expectation is that is, they’re going to go for a bidding process, they will make it within the next 12 months. And that’s what I can share with you, but it’s clear for me that one of the most important projects for them in terms of Airports is this one.
Raian Santos – Citigroup: Sounds good, very clear. Thank you.
Adolfo Castro Rivas: You’re welcome.
Operator: (Operator Instructions) Our next question is from the line of (inaudible) with Deutsche Bank. Please go ahead.
Unidentified Analyst: Good morning, Adolfo. Two questions; one is, what is the financing capacity of ASUR for making new investment in a project? And then would you be looking to finance it again through Cancún Airport as you did with Puerto Rico Airport to maximize the tax efficiency?
Adolfo Castro Rivas: Hi, good morning. Well in terms of debt capacity of course, we don’t have any specific number to share with you. But if we round numbers, you have the exact numbers in the filing. If we say that we can be leveraged between two to three times EBITDA and EBITDA last year was around $230 million. You will say, it’s going to be $600 million. Let me try to make numbers in the case of San Juan, Puerto Rico. As you have seen in our press release, the payment that we should be making to the Federal Government of Puerto – to the government of Puerto Rico is around Ps.615 million, plus fees and working capital and all of that could be around Ps.700 million. In terms of project debt or debt to – directly to the company in Puerto Rico, we can talk about Ps.350. And we have said that we will be supporting this company with Ps.100 million. So the remaining is Ps.250, so the exit checks should be around Ps.125 million. If we go back to the Ps.600 million, so there is some additional money that we can use for new projects in the future. I don’t know if this answers completely the question and if we are going to make this through Cancún Airport, yes, we’re going to be making these through Cancún Airport.
Unidentified Analyst: Okay. Thank you.
Adolfo Castro Rivas: You’re welcome.
Unidentified Analyst: The other question I have is on the revenue yield per passenger and the fourth quarter looks like, it improved around 1.4% whereas during the nine months period and the year, it improved low double-digit. So could you explain why commercial revenue per passenger didn’t increase as much in the fourth quarter as it did the rest of the year?
Adolfo Castro Rivas: Yeah, as I have said in the initial remarks, with the passenger mix we’re having, so having more domestic or going domestic against international, it’s harder for us to sell directly to them, so we cannot [just] illustrate to domestic guidance. So it has to increase the commercial value at same proportion as we did in the past, but you know that this is one of the main focus this company has and we are working basically to continue with this improvement.
Unidentified Analyst: So it seems like domestic has been growing throughout the year, so was there other causes, I know in the press release you said that there was a decline in rental revenues that more than offset the growth in commercial. Can you explain is that material or not?
Adolfo Castro Rivas: No, in the case of car rental, it’s not material. The important elements in terms of the growth we saw last year without comparing the issue of the duty free are basically advertising and direct commercial operation of our stores.
Unidentified Analyst: Okay. Thank you.
Adolfo Castro Rivas: You’re welcome.
Operator: Thank you. I’m showing no additional questions, please continue. Would you have any closing remarks?
Adolfo Castro Rivas: Okay. Thank you, Tadeo, and thank you everybody and thank you for joining us today on our conference call. As always, do not hesitate to contact me if there is any further question. Thank you for here being today and we will be providing some additional information in the case of San Juan, Puerto Rico shortly. Thank you, and have a good day.
Operator: Thank you. And ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.